Operator: Good morning, and thank you for holding. Welcome to Rent-A-Center's Third Quarter Earnings Conference Call. As a reminder, this conference is being recorded, Tuesday, October 31, 2017. Your speakers today are Mr. Mark Speese, Chief Executive Officer of Rent-A-Center; Maureen Short, Interim Chief Financial Officer; Joel Mussat, Chief Operating Officer; and Daniel O'Rourke, Vice President of Finance, Investor Relations, and Treasury. I would now like to turn the conference over to Mr. O'Rourke. Please go ahead, sir.
Daniel O'Rourke - Rent-A-Center, Inc.: Thank you, Amy. Good morning, everyone, and thank you for joining us. Our earnings release was distributed after market close yesterday, which outlined our operational and financial results for the third quarter of 2017. All related materials are available on our website at investor.rentacenter.com. As a reminder, some of the statements provided on this call are forward-looking statements, which are subject to many factors that could cause actual results to differ materially from our expectations. Rent-A-Center undertakes no obligation to publicly update or revise any forward-looking statement. These factors are described in our earnings release issued yesterday as well as in the company's SEC filings. I'd now like to turn the call over to Mark.
Mark E. Speese - Rent-A-Center, Inc.: Well, thank you, Daniel. Good morning, everyone, and thank you for joining us. Today, we will discuss our third quarter results and the progress that we're continuing to make on our strategic plan. Of course during the quarter, our results were impacted by unprecedented hurricane activity, and our thoughts remain with those affected. We're doing all that we can to care for those in need from donating furniture in Houston to shipping more than 70,000 packaged meals and bottles of water to Puerto Rico. Joel and Maureen will discuss the impact of the hurricanes, as well as our operating and financial results in greater detail. Before they do, let me provide an overview of our results and the progress that we're making on executing our strategic plan. In the Core, the progress we are seeing is in line with our expectations as the third quarter results are still being impacted by our lower portfolio. We continue to improve our monthly operational metrics sequentially, and believe the monthly scorecards have and will continue to provide visibility into our progress. In the Core, significant improvements on our average ticket, delinquency rates and being less promotional have helped drive same-store sales up 510 basis points sequentially. The average ticket of the overall portfolio was up 5.7% year-over-year in September, driven by enhancements to our value proposition and optimizing our product offerings. By moving through the older, idle inventory, the stores now have a higher percentage of new products and lower idle inventory levels, including less Acceptance Now returned products. Overall ownership levels are up year-over-year and delinquency rates are more in line with our historical performance. Stabilizing and upgrading the workforce in the Core remains a key focus to the company as well. Stores have been empowered to replace part-time hours with full-time hours. Pay ranges have been modified to upgrade talent and maintain the stability of the frontline co-worker. Process have been established to obtain feedback from our co-workers and our customers. And as a result of these changes, co-worker turnover is significantly lower than prior year and collection efforts have improved. There are still an opportunity to reduce the co-worker turnover further, and we plan to continue to invest in our store co-workers who are our foundation for future growth. The more tenured workforce and the enhancements made have put the company in a better position to drive agreement volume growth entering the holiday season. Positive same-store sales in the fourth quarter is still well within reach and would drive positive momentum for the business leading into 2018. Turning to Acceptance Now, I strongly believe that there are significant opportunities to enhance the Acceptance Now business model to drive increased profitability and cash flow, and we are in the early phases of repositioning the business for profitable growth. Within Acceptance Now, there are number of key steps being taken to transition towards a more profitable business and position us for future growth. A value proposition that drives higher ownership and less returned product will be better for our customers, our retail partners and the company. Acceptance Now has been testing a value proposition with shorter terms, lower total costs and more affordable purchase options with slightly higher average monthly ticket for the past few months and while still early, the results are promising. The higher monthly rate coupled with improved retention points to a quick return of capital, increased ownership and improved ROI. Less returned product will also benefit the Core business as a result of less product transfers and more control over our product assortment in the Core. The value proposition changes will likely be made system-wide in the coming months and we look forward to the benefits to both businesses. We've also made significant progress optimizing our retail partner relationships to deliver improved service and profitability. The company continues to believe that the hybrid model of being staffed during peak times and unstaffed during non-peak times is a strategic advantage for Acceptance Now. Acceptance Now is able to offer multiple relationship options with varying service levels for retail partners, while other lease-to-own models and third-party retail locations are almost exclusively virtual. Enhancements have been made to our unstaffed model to improve the user experience through the consolidation or elimination of screens and unnecessary information gathering, making the application easier to use for consumers and retail partner associates. New data elements were also added to the approval process to reduce risk. We're continuing to build out our unstaffed capabilities will enable Acceptance Now to more effectively scale operations at a substantially lower cost with a faster speed to market, and provide access to a greater portion of the addressable market. The white space opportunity and pipeline for Acceptance Now business continues to be strong. The company also continues to optimize our decision engine in the risk analytics to reduce losses and increase ownership by implementing enhanced risk assessment policies and strategies. Rent-A-Center's data driven application, and verification processes determine approval rates and amounts using proprietary scoring models, utilizing a vast aggregation of data attributes. Our risk analytics team continuously customize the algorithms to optimize results, and the changes made to date are expected to drive lower delinquencies and loss rates, as well as improve profitability. The company is also starting to use analytics to determine return mitigation tactics, to increase customer ownership rates and reduce return products by providing post-sale account management and decision-making tools for our store co-workers and centralized collection teams. The risk management and analytics are capabilities that the company plans to continue to leverage and invest in, in the future. Of course another pillar of our strategic plan is leveraging technology investments to expand channels and improve the customer experience. In the Core, we continue to build out our store, distribution and online integration points. During the third quarter, we rolled out a special order program, which allows our store staff to order specific SKUs from an online catalog to enable a larger selection of products for our customers to choose from across all categories. Included in this program is an extended aisle partnership with Ashley Furniture, the leading U.S. furniture brand and our largest supplier, where we can special order dozens of additional SKUs that we do not typically stock in our stores. This capability provides an enhanced omni-channel customer experience and allows the customer a much larger choice of items to enhance their personal shopping experience. In addition, the mobile app we announced last quarter is being tested in a full region and we're expecting to expand in early 2018. And finally as mentioned last quarter, we've also been working with a third-party franchising consulting firm. Their work has confirmed that franchising can play an integral part in the future of Rent-A-Center. A sizable opportunity exist in franchising with the ability to grow the business and improve the capital position of the company, and we're currently evaluating the timing and level of investment. As I said at the beginning of the year, we expected that it would take time to stabilize and improve results given the portfolio nature of the business. I am pleased with the progress we have made and believe that the changes that we've implemented will drive improvements in the trajectory of the business. The board and management team are committed to holding ourselves accountable for our performance and generating stockholder value. And finally, before I turn the call over to Joel to discuss our operational performance, I have one personal item to share. Angela Yochem, our CIO, has decided to accept a new position as of year-end. I want to take this opportunity to thank and acknowledge Angela for her service and contributions to Rent-A-Center. We wish her the very best for the future. As I said, she will be staying on through the end of December to ensure a seamless transition, and the search for her successor is underway. I do want to thank our 18,000 co-workers for their continued commitment and efforts this past quarter. And with that, let me now ask Joel to provide you an operational update.
Joel M. Mussat - Rent-A-Center, Inc.: Thanks, Mark, and thanks, everyone, on the call for joining us. I've been back at the company now for about five months, and I'm very excited about the opportunities that lie ahead for us. My focus this morning will be on the operating results of the businesses and our plans to continue to improve performance. I'll start with our Core business. Historically, the Core business in the third quarter performs lower in terms of top line and bottom line performance. The customer agreement count drops in the first quarter, since customers use their tax refunds to obtain ownership of their merchandise on rent, and there typically isn't a material increase in the agreement count until the fourth quarter. In addition, delinquencies typically increase in the third quarter, which impacts bottom line performance. As mentioned, the company was impacted by three hurricanes in the third quarter. Our hearts go out to all those affected, including our co-workers and customers and their families. Overall, about 300 of our Core stores and about 200 of our Acceptance Now locations were impacted by Hurricane Harvey, Irma or Maria. All but four of the U.S. stores are now back open, but many of the Puerto Rico stores are still closed or at least not yet fully operational. We have 38 Core stores and 25 Acceptance Now stores located on the island that produce about $5 million a month in revenue. I will note that our Core stores in Puerto Rico trend slightly below our overall store average for profitability. And as we move forward, we'll be evaluating our store footprint in the territory, while continuing to take care of those in need. Excluding the impact of the three hurricanes, we are pleased with the results of our Core business, as performance for the quarter was in line with our internal projection. And our turnaround of this business continues as planned. We are very proud of our operational teams as they were able to grow our portfolio in both August and September against some very strong challenges, and we typically see a decrease in our portfolio historically in those months, due to the seasonality of our business. To illustrate the significance of growing the portfolio consecutively, in these two months, we have not done this in at least the last 12 years. Same-store sales in the Core improved by 510 basis points sequentially, helped by year-over-year improvements in our ticket, pricing discipline and reductions in free time amounts for new rentals, which demonstrates strong sales execution on the part of our store teams. Even with the hurricane effect, the year-over-year GAAP and operating margin has closed and is now flat driven by lower charge-offs and a focus on labor management. The quality of our agreements has improved as displayed by our improvements in delinquencies and has also driven ownership rates higher year-over-year by almost 5%. In support of our inventory strategy, our percent of new merchandise in our stores is running well ahead of last year, which has also fueled and has helped our comp numbers improve by 740 basis points since Q1. As we mentioned last quarter, we have recently rolled out a mystery shopper program, which we are using as a training tool for our store personnel to use to improve their point-of-purchase success and delivering a great customer experience. We are pleased with these results so far, and have already seen improvements in sales conversion and sales lead follow-up rates. We attribute some portion of our August and September success in growing our portfolio to the impact of this program. We're confident our frontline co-workers are strengthening their skills and delivering value for our customers. Additionally, we have also launched our first ever voice of the customer initiative, which has already begun to give us better visibility to customer experience opportunities. We are very excited to have the ability to gain the insights we need to take the best care of our customers and nurture better experience. In the fourth quarter, we expect a combined high-single-digit improvement in average ticket and better collections year-over-year in the Core business, offsetting the lower agreement count and driving positive same-store sales. Throughout the year, we have consistently reduced the rate of churn in our portfolio of customer agreements. In the fourth quarter, we expect the rate of customer agreement growth per store to be higher than last year, driving stronger same-store sales performance from a better store assortment, enhanced value proposition and higher quality agreements. Over the past six weeks, Mark and I have traveled across the U.S. and held meetings with every multi-unit manager and above, and some of our highest performing store managers for both the Core and Acceptance Now brands. We did this to ensure alignment across the organization and help build energy and keep our momentum going, as we progress into our most important quarter in terms of growing the business. It was great to see the energy, the passion and the confidence on the part of our sales teams, and we are confident that they will deliver on our expected results. For Acceptance Now, the business delivered improved same-store sales of 120 basis points sequentially and 820 basis points year-over-year. Please note that our comp store base is about a third of our total location, mainly due to the Conn's and hhgregg closures earlier this year. We continued our growth of new locations by opening about 70 new stores in the quarter, which gets us to about 190 stores year-to-date. Revenue is down in the quarter as expected due to the Conn's and hhgregg closures, as is operating income due to skip/stolen losses, which were higher than expected. We knew the current agreements would be challenging to collect on due to the quality of this portion of our portfolio, which has driven our loss rates higher. Most of the increase in year-over-year loss rates are due to these accounts. However, the locations have received the Conn's and the hhgregg transferred agreements have also experienced higher delinquencies under existing location agreements. To be clear, we are not pleased with our collection results, we have a plan to improve them on a number of fronts. Mark mentioned our plan to shift to building a higher quality portfolio starting with our pricing model, as well as our decision engine improvements, which are apparent in the recent results of our first payment default rate in a subset of stores. We're also putting in place several account management strategies, which we believe will drive improvements in our delinquency rates while maintaining a healthy portfolio. Marketing our AutoPay feature, keeping discipline around initial down payments from customers, adding verification steps to our approval process, exiting partners who cater fundamentally through an RTO customer base, and implementing a new collection routing software tool are examples of how we're working to shore up our collection capabilities. Additionally, we're focused on improving the training as well as the turnover rates of our store co-workers, who typically spearhead our frontline collection efforts. Overall, while earnings are still being impacted by a lower portfolio, the fourth quarter is our largest opportunity to grow the portfolio of both businesses during the high seasonality periods. The third quarter is expected to be the bottom point , and we expect for profits to improve from here as our initiatives take hold and improve the trajectory of the business. In Mexico, we continue to operate our 129 stores, which are self-funding and fully managed in country. We have made good strides in our inventory management and capital allocation year-over-year, as we have reduced our overall idle units in both the stores and our DCs by over 30%. We've also reduced our long-term store aisles by over 35%. This focus on proper inventory management, as well as pricing has helped us raise our ticket on our in-store assortment by over 5% year-over-year, as we believe, we can install to some degree the allocation of good, better and best ratios we have done in the U.S. We continue to push for a quality portfolio for our Mexico business, as well as a strong focus on operating income. With that, I'd like to thank our 18,000 co-workers for the dedication and efforts during the third quarter, with a special thanks for those affected by the hurricanes. Now, I'll turn over to Maureen, to discuss the financial performance of the company. Maureen?
Maureen B. Short - Rent-A-Center, Inc.: Thanks, Joel. Good morning, everyone. Now, I'll walk through the financial performance for the third quarter of 2017, and will present the results excluding special items unless otherwise noted, compared to the same period of the prior year or to the second quarter of 2017, as we measure the sequential improvement against our strategic plan. Consolidated total revenues for the third quarter were $644 million, down 7.2% versus prior year. Adjusted EBITDA was $17.1 million and EBITDA margin was down 170 basis points versus the second quarter. Net diluted loss per share excluding special items was $0.15. The company estimates that the effects of the hurricane reduced our revenue by $5 million and non-GAAP EPS by $0.04 in the quarter. That impact was approximately 65% from the Core business or around $3 million and 35% from Acceptance Now or around $2 million in revenue. As Joel mentioned, we had almost 500 locations impacted and expect there to be a near-term drag on the business before reaching a full recovery. Charges of $1.9 million were recorded in Q3 for the hurricane damage, primarily related to idle and on rent merchandise from Hurricanes Harvey and Irma. The company is self-insured in the U.S. for merchandise and fixed assets and has insurance coverage in Puerto Rico for some merchandise, fixed asset and business interruption. We are currently working on estimating the potential charges needed for Hurricane Maria, and anticipate booking those in Q4. Turning to the results for Q3 in our Core U.S. segment, total revenues were down 8.1% driven by same-store sales decline of 5.1% and 2% reduction in average store count and the impact from the recent hurricanes. Same-store sales improved sequentially by 510 basis points, driven primarily by the significant increase in the monthly rate of agreements. The year-over-year change in merchandise on rent improved sequentially by 350 basis points, which shows that we are continuing to make up ground versus last year on the portfolio and positive same-store sales in Q4 is still our expectation. Gross profit margin in the Core U.S. business was 70.0%, 120 basis points lower than last year due to the value proposition changes and targeted pricing actions to right-size the inventory assortment. We are expecting the year-over-year rental and fee gross margins to continue to improve in Q4. Core merchandise held for rent was sequentially – was up sequentially as the company is preparing for the higher demand fourth quarter and also driven by an increase in the average cost per unit due to the shift towards more better and best product. Store labor expense was down $3.8 million versus last year driven by lower store count. Other store expenses were down $27.4 million driven by lower losses and lower store count. Skip/stolen losses were 2.4% in the quarter compared to 4.7% last year. And our expectation is that losses will remain at lower levels in Q4, given the improvements made in the quality of the rental portfolio. Core U.S. EBITDA was $32.5 million in the quarter. EBITDA margin was down 30 basis points from the prior year; however, the gap in EBITDA margin year-over-year improved sequentially by 380 basis points. Now turning to the Acceptance Now business. Total revenues decreased by 5.2%, primarily due to the closures of Conn's and hhgregg locations and the impact from the recent hurricanes, offset by higher same-store sales of 7.9%. With the store optimization changes, Joel, mentioned, and the impact of the recent hurricanes, Acceptance Now revenue is expected to be approximately $180 million in the fourth quarter or approximately $800 million for the full year. Gross margin in Acceptance Now was 50.0%, down 300 basis points from last year driven by lower gross profit on merchandise sales due to our focused effort to encourage ownership and reduce returned product by negotiating a buyout amount in lieu of picking up product for select customers. We expect this activity to continue going forward until our value proposition changes result in higher ownership rates. Skip/stolen losses for Acceptance Now were 10.8%, and are expected to be elevated next quarter as well. Acceptance Now EBITDA was $16.4 million in the quarter. Corporate operating expenses increased $2.5 million compared to prior year, primarily driven by project expenses related to strategic initiatives, higher depreciation expense from technology investments and higher legal expenses. Corporate expenses for Q4 are expected to be flat versus the current quarter. Now, turning to the balance sheet. As of the end of the third quarter, we had $76.2 million in cash and cash equivalents. Our total debt balance was $637.4 million, with $55 million drawn on the revolver. For the quarter, the company's fixed charge coverage was 0.5 times, leaving approximately $147 million of available capacity on the revolver, taking into account the additional $50 million necessary given the fixed charge coverage rate. Total liquidity at the end of the quarter was $223 million. Year-to-date, we have generated approximately $135 million of cash from operations. With that, let me turn the call back over to Mark, before we open the line for your questions.
Mark E. Speese - Rent-A-Center, Inc.: Thank you, Maureen and Joel. Before I turn the call over to Q&A, I want to briefly discuss the two additional announcements that we made yesterday. First, we announced that Rent-A-Center's Board of Directors has initiated a process to explore a full range of strategic and financial alternatives available to the company, with a focus on maximizing shareholder value. I know, I speak on behalf of the management team, when I say that we will remain focused on executing on the comprehensive plan to improve the results across the business, while this review process is underway. Please note that the board has not established a definitive timeline to complete its review, and no decision on any particular alternative has been reached. There can be no assurance that this process will result in any agreement or a transaction, and we do not intend to discuss or disclose developments regarding the board's process unless and until the board has approved a specific course of action. Second, regarding the dividend. We also announced yesterday afternoon that our board has suspended the quarterly cash dividend. To be clear, and as Maureen just mentioned, our cash position remains strong as the company generated $135.4 million of cash from operations for the nine-month period ended the third quarter and ended the third quarter with $76 million of cash and cash equivalents. So, before turning the call to Q&A, I would like to remind you that the purpose of this call is to discuss the third quarter results. I ask that you limit your questions to that topic. Thank you in advance for your consideration and cooperation. And with that, we would like to now open the call for questions.
Operator: At this time, we will be conducting our question-and-answer session. Your first question comes from the line of Brad Thomas with KeyBanc Capital Markets. Brad, your line is open.
Bradley B. Thomas - KeyBanc Capital Markets, Inc.: Hi thank you. Good morning, Mark and Maureen. I wanted to first ask about same-store sales. Mark, since you've rejoined the company, you're clearly making progress improving same-store sales in the Core and ANow. Could you just help us understand a little bit more about maybe the pace of improvement that you're expecting in the Core business, in particular, in the fourth quarter? By my math, it looks like you'd need to get to perhaps a low-single-digit comp in the Core in the fourth quarter in order to get to overall positive comps. And if you could just talk about if that math is right, and what you're seeing in the business that gives you confidence you could hit that in 4Q?
Mark E. Speese - Rent-A-Center, Inc.: Yeah, let me give you a couple of data points, and then Maureen feel free to expand in some other areas. One of the key drivers is the number of BOR contracts that you have on rent, what is the pricing or value of those individual contracts, and then how are you collecting or performing against those. And let me try to give you a couple of data points, Brad. At the end of the third quarter, the portfolio was about 10% less than it was year-over-year. So, if you think of the size of the portfolio, the end of September. By the way, the end of August, it was 11% difference and the end of July, it was 12% difference. And you heard Joel comment how we gained portfolio in August and September, first time in 12 years, okay. So, the gap is shrinking when you think of the size of the portfolio. Now, go to those other two points that I referenced. Our pricing is up 5.5% year-over-year, and you see this in the monthly metrics that we put out, the delivery APU, right? The other key driver I mentioned is, how are you collecting against the performance of that portfolio? And that's in delinquency or percent collected, use of free time, actually collecting on the accounts, and we've stated, we're now back to our historic norms, in terms of pretty close to historic, in terms of monthly, weekly delinquencies, certainly our losses are back, I think you heard Joel and Maureen, 2.4% in the Core compared to 4.7% a year ago. So, think of it this way, we have 10% gap in the size of the portfolio, the pricing is up 5.5%, and collections or the percent we're collecting against that is up 3%. The gap is now something around 2%. And of course, when we started the year, that first number was something akin to 15%, and pricing was zero and collections was zero, okay? And again, we put out this monthly report card to try to show this is a portfolio business, it doesn't happen overnight, you got to move through the inventory, you got to improve the collections, you have to right-size the value proposition, hence, where we are today and what reaffirms our belief and I've stated before and I'll repeat again, I'm not sure everyone appreciates the challenges the company faced in the third and fourth quarter of last year. And so, we believe, we can continue to narrow the gap on the portfolio size, as well as continued improvement in the pricing value proposition. I think it's fair to say, we don't expect any more on the collection side, because we've been running at our historical norms now. So the question is, can we get to 5.5% to 6% or 6.5%? We believe we can continue to move upward, and we believe we're going to continue to narrow that gap, that 10%, I referenced, which was 11% the month before and 12% the month before that. So, it gives us pretty good confidence. Maureen, I don't know if you want to add any more color or is that hopefully...
Maureen B. Short - Rent-A-Center, Inc.: No, I think that covers it.
Bradley B. Thomas - KeyBanc Capital Markets, Inc.: That's helpful. And so, with September Core comps having been down, I think a little over 4%, the expectation is basically that will continue to improve as the portfolio gets healthier, from what you're working on?
Mark E. Speese - Rent-A-Center, Inc.: Yes, like it has every month since April.
Bradley B. Thomas - KeyBanc Capital Markets, Inc.: Great. Great. And Mark, turning to sort of the expense side of the equation. You referenced some flexibility that stores have to put more into labor. Can you help us just think about the cost structure of the business, and where you think there are opportunities to continue to bring down costs, and where maybe from a timing perspective, are we may be getting too lean in certain areas that you need to keep putting more back in the business?
Mark E. Speese - Rent-A-Center, Inc.: That's a good question. I guess there's two lines of business. So, if you think about the Core, I think generally speaking throughout the P&L below the gross profit line, I think – I feel comfortable with the cost structure that we have there. Now, part of the way that we're going to deleverage is, you got to grow top line. And I would tell you in the Core, it's not about taking cost out, it's about leveraging the costs that we have. I do think that we can continue to make some improvements on the gross profit line and Maureen has spoken to – we're still – some of the impact from some of the decisions that we made early in the year in terms of how do we move through the old inventory faster. So, whether it was the pricing or the discounting in some of that inventory, you've seen the gross profit margin or depreciation go up a little bit, as we've moved through that. But I would expect that over time, there's an opportunity to pick-up improvement on that line, as we continue to move through the older inventory. Of course the Acceptance Now, there is – so I'm talking about the two lines of business, but it rolls up in the aggregate. Clearly, there's opportunity on the loss line. And we recognize that and I'll remind everyone just like the Core business, this is a portfolio business also. And what's really important is the steps that we're taking today is that going to show, and Joel mentioned with some of the enhancements on the risk engine and the decision-making, the analytics, our first payment defaults in the Acceptance Now which is a leading indicator, right? What percentage of the portfolio misses the first payment, that's a leading indicator into how they may perform further down the road. I can tell you we are at levels we haven't seen in two years. Now, okay, that's a first payment default. But most of the contracts, so again it's a portfolio, it's going to take some time, but I think we all believe strongly that over time, we're going to be able to improve the delinquencies, which will enhance the overall profit margins. There's probably some optimization that can still be recognized or done in the Acceptance Now, when I say optimization, whether that's some of the unmanned, how do we think about the level of performance in those stores and where the unmanned solution may be the better option. So, we have those kinds of opportunities also. And you can expect to see more of that as we move forward.
Bradley B. Thomas - KeyBanc Capital Markets, Inc.: That's helpful, Mark. If I could squeeze in one last more. I know you're not going to want to give a lot of detail on the decision to review strategic alternatives here. And maybe if I could just ask maybe in your mind and the minds of the board, what's changed, if anything, from six or nine months ago in terms of maybe why now as a moment to explore these alternatives?
Mark E. Speese - Rent-A-Center, Inc.: I think the only way I could answer it, Brad, is the board obviously is and has always been committed to taking actions in the best interest of the stockholders in the company. And they determined that, again, I'm not on the board, but they concluded or determined that now it's the right time to initiate a review to focus on maximizing the value. And so, as I said, they'll review a full range of alternatives with the assistance of the outside advisors, and we're not going to be able to comment any more beyond that frankly.
Bradley B. Thomas - KeyBanc Capital Markets, Inc.: Thank you so much, Mark, and good luck.
Mark E. Speese - Rent-A-Center, Inc.: No. Thank you. Appreciate your questions.
Operator: Your next question comes from Kyle Joseph from Jefferies. Your line is open.
Kyle Joseph - Jefferies LLC: Good morning, and thanks for taking my questions. I just wanted to get some color on markets post-hurricane. Obviously, you had a lot of store disruptions and whatnot. What sort of trends you saw in September or October in the markets that were impacted by hurricanes in terms of FEMA refunds, and have you seen demand recoveries there or when would you anticipate demand recoveries? I know Maureen mentioned that there would be a drag in the fourth quarter because of the hurricanes.
Joel M. Mussat - Rent-A-Center, Inc.: Yeah. This is Joel. And Maureen can put in I think (37:30) as well. I think when it comes to hurricane, we can look at them as two different lenses, one lens being Texas and Florida, and what occurred there versus Puerto Rico. In Texas and Florida, obviously, there were some damage there to our stores into the surrounding areas. The stores have come back online. They're not fully back up to speed yet, especially from the percent collected standpoint in terms of getting the revenue back in the stores, but they're making good progress and we think in fairly short order, they'll be back to normal run rates. Puerto Rico, I think is a different animal, because they experienced a once-in-a-lifetime type of weather event. We've set the entire island back some – for some period of time. And like I said, we got 38 Core stores on the island, 25 Acceptance Now's, and it'll take some time for them to get back up and running. When you look at the power grid, you look at communications being challenged in Puerto Rico right now. Just getting connectivity's into stores is a day-to-day occurrence for us or a challenge for us I should say. So, hard to say exactly when we'll get to a point where those stores are back up and running. We do know that we'll take advantage of the opportunity to look at our footprint and make sure that we can based upon profitability of the current store base as well as lease expiration dates and whatnot to give a better grasp of what our footprint long-term should look like on the island.
Kyle Joseph - Jefferies LLC: Got it. That's helpful. Thanks. And then, transitioning to Acceptance Now, you talked about the value proposition for the customer. In terms of the terms, can you give us an idea of where they were and where we should anticipate them going in terms of portfolio duration?
Mark E. Speese - Rent-A-Center, Inc.: Yeah, we – a little bit like the Core, the term is somewhat driven by total cost. So, there's a range, right? But generally speaking in the Acceptance Now, generally the range was between 12 months and 36 months. And what I can tell you is, it's more of the top end that we don't – you can – the expectation is we won't have anything longer than 24 months, and whether or not that's where we will settle, maybe still being tested also. So, when I say shorter terms, it's 24 months or less, everything that we're testing and doing right now. Again, we'll give up a little bit on the margin in terms of how you may price it initially, but obviously the idea of being able to collect more money faster, shorten the term, help drive more ownership, carried people that far out is a little – it's not good for anybody.
Kyle Joseph - Jefferies LLC: Got it. And one follow-up there, would you anticipate rolling out this new value proposition in both the staff and the direct, and can you give us a sense for long-term plan in terms of mix between staff and direct?
Mark E. Speese - Rent-A-Center, Inc.: The answer is yes. This would apply across any of them. We've said it, and the unmanned is, listen, there are tens of thousands of potential retail partners out there, right? And I think we all know that the manned is not the right way to go in all of those cases. And so, having a viable unmanned solution is important, and that's what we continue to work on and develop. And in terms of what the optimal mix is, that's a little hard to predict, Kyle. I don't – I think what excites us is having – putting ourselves in a position to where we can again offer a value proposition for the partner that they may not be able to give somewhere else. So – and that to me, if you think about it from a continuum, in some case, it may be fully unmanned all the time, in another case, it may be manned on the weekends, when they're busy in terms of traffic and/or to the extreme, it's manned all the time, because of where we are in the flow, the opportunities and so forth. So, being able to be in that position I think is what is really exciting for us, and that's what we're working towards.
Kyle Joseph - Jefferies LLC: Got it. That's helpful. Thanks a lot for answering my questions.
Mark E. Speese - Rent-A-Center, Inc.: You bet. Thank you.
Operator: Your next question comes from John Baugh from Stifel. Your line is open.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Good morning, Mark, Joel, Maureen. Thanks for taking my questions this morning. I guess, I'll just start with ANow, and just to be clear, you're seeing your first payment defaults are at extremely high levels currently, is that what you said, Mark?
Mark E. Speese - Rent-A-Center, Inc.: No. No. No. No. Well, first of all, we never say they were extremely high at any point. They're at lows that we haven't seen in the couple years, so the opposite of that. We have visibility in payments and performance and all that kind of stuff. And the first payment defaults on all the new contracts that we've been doing are at the lowest levels we've seen in the last couple of years, which is a good thing. So, all the businesses we're doing, is much better looking.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Okay. And so, is that primarily or solely related to not obviously originating accounts recently with Conn's and/or hhgregg, or are you making progress even within other retail partners?
Mark E. Speese - Rent-A-Center, Inc.: It's all the above. It's – so who are the partners themselves, and then obviously, the decision engine and the risk analytics, the algorithms that are being used in terms, again, how we score if you will. So, it's a combination of all those things.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Okay. And it sounds like that again a dangerous assumption that the performance of the unmanned is not as good as the staffed. Is that correct or what kind of metrics or GAAP could you discuss between staffed and unmanned?
Joel M. Mussat - Rent-A-Center, Inc.: I would say it's not that they perform differently, it's just in the model. So, we know that we typically would put a manned solution in, if the volumes dictate it, and an unmanned solution in, if the volumes dictate it. So, if the lower volumes are lower, we typically go with an unmanned solution, where it doesn't justify putting in and spending money on the labor to support a lower agreement count in that location. So, it really depends upon each location, and what we feel is justified from a model perspective for that part or in that specific location. And really it's driven by a location by location decision.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Okay. I guess there wasn't driving at revenue, which I was driving at delinquencies or charge-offs as staffed versus unmanned?
Joel M. Mussat - Rent-A-Center, Inc.: Typically with unmanned, you want to put those locations in where there is more of a banked customer or a higher quality customer, just so you can – because again it's not a manned location, we typically see better default rates in a manned location versus an unmanned. Because we typically will handle both the banked and a strongly under-banked customer at a manned location. Whereas in a unstaffed location, you have no staff there to handle collections and what not on site, typically, we would want to stick with more of a banked customer base.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: So, your delinquencies and charge-offs would be better than the virtual or unmanned or not?
Joel M. Mussat - Rent-A-Center, Inc.: It's hard to say one way or the other. It would depend upon that location specifically. I mean, typically if you're with a banked customer, you would think you would see better first payment defaults and better loss rates. Yes.
Mark E. Speese - Rent-A-Center, Inc.: Here is something I can share, John, and this applies not just to us, I think any financial lender could support this comment. But what we see, those that apply online at 3:00 AM, that's a little higher risk on average. And I'm not trying to paint everyone with the same brush, but there are facts and so forth, that that's a different than the customer that walks in at 11:00 AM. And so, when you think about the underwriting and the decision-making, how do you adjust your account for those kinds of things? And that's – so you're going to have probably some different underwriting rules depending on which environment you're working in and where they're coming from, but that's just the science of – and again, that's used in anyone, not unique to us. So – but it's those kinds of tweaks or differences that you might see between the different channels and so forth.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: And, I think, I heard Maureen say the revenues right now will be around $800 million this year. I'm curious as to roughly what – I assume you'll still be collecting some revenue from Conn's and hhgregg in the 2018, but not as much. Is there any guide, and I believe you said the comp base is only a third of the total stores or something like that. I'm just trying to get some guide for the next year in terms of the composition of ANow revenue that's comp based, and what we lose, if you will, in revenue from those two retail accounts?
Maureen B. Short - Rent-A-Center, Inc.: John, this is Maureen. Yeah. So, the comp base is just a third of the overall store base within Acceptance Now. We will continue to see the agreement slowly continue through the first quarter on Conn's and hhgregg agreement, because we didn't stop writing new agreements in those locations until around May of this year. So, we will continue to see the follow-up of those agreements, but they'll be less of an impact in 2018 than obviously they were in 2017. We did provide guidance overall for the fourth quarter in the year. We're working on understanding the store optimization plan that Joel talked about and the impact that will have on 2018, and we'll likely provide more guidance or direction about what the Acceptance Now business looks like in 2018 on the next earnings call.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Okay. Is there a plan to further reduce Core store count, Mark, or are you kind of where you want to be currently?
Mark E. Speese - Rent-A-Center, Inc.: Well, we continue to evaluate all the stores performance, and I said that at the beginning of the year we will revisit it at the end of the year, we've made a lot of great progress. You've seen or you'll see when the Q is filed, I mean, part of the normal – there's some regular hygiene if you will, is kind of how I think about it, that has taken place. So, you saw it last quarter, and it was done again this quarter. As I sit here today, I'm not expecting to do any large store rationalization, if that's what you're asking. It's more regular, normal hygiene at this point, and then we also – how do you think about my comment around franchising and what might that may mean now? That's a much larger, right? That's not a solution to underperforming stores. That's a much more thought out strategy about balance sheet, and white space, on and on and on. But – so, I think we're going to be able to approach it from a couple of different ways, and right now you can just expect to see regular hygiene.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Good. Thanks for that. And then my last question is on Puerto Rico. It's obviously a difficult situation there. Is the reason for not taking the charge until Q4 due to uncertainty of around what's covered insurance wise, therefore what maybe the net will be or is it decisions around what you'll do with those stores? I'm just curious whether you can frame any better financially, what we are looking at in Puerto Rico or do we just have to wait?
Maureen B. Short - Rent-A-Center, Inc.: Really the reason why we waited is, we just wanted to have better information. It was fairly late in the process that we started to get information from our co-workers on what the impact was within the stores and the inventory and the fixed assets. And then also trying to get a hold of our customers and understanding their situation. So, we do understand what the insurance will bring for us. It's just a matter of tying the knot and determining what the charges are expected to be going forward. But we've gathered a lot of that information, and we're currently in the process of reviewing and we'll be taking those charges next quarter.
John Allen Baugh - Stifel, Nicolaus & Co., Inc.: Okay. Great. Thank you and good luck.
Mark E. Speese - Rent-A-Center, Inc.: Thank you, John.
Operator: Your next question comes from the line of John Rowan with Janney. John, your line is open.
John Rowan - Janney Montgomery Scott LLC: Good morning everyone.
Mark E. Speese - Rent-A-Center, Inc.: Good morning, John.
Maureen B. Short - Rent-A-Center, Inc.: Good morning.
John Rowan - Janney Montgomery Scott LLC: I just want to be clear. On the $50 million worth of reduced liquidity out of the revolver, how'd you do the fixed charge coverage ratio? I just want to make sure that you guys have enough fluid room on the borrowing base covenant to move up liquidity when and if you kind of solve the fixed charge coverage ratio?
Maureen B. Short - Rent-A-Center, Inc.: Yes. John, so the way we look at capacity on the revolver is, we have a minimum of the borrowing base or $350 million in capacity. We have about $100 million in letters of credit. We have $55 million drawn on the revolver currently. And because we did not meet our fixed charge coverage ratio, we have to hold back an additional $50 million, because of that requirement. So, that leaves us with $145 million – $147 million in capacity on the revolver, plus we have $76 million in available cash at the end of the quarter. And so, that leaves us with $223 million in available liquidity. So, we feel very comfortable with our amount of liquidity. Again, that was one of the reasons why we amended the credit facility is, because we understood that the fixed charge coverage would be under some pressure for some time. And so, rather than having those covenants and pressure there, we felt like the $50 million in available liquidity was not an issue for us, since we drive strong cash flow generation for the business and expect to continue to drive strong cash flow.
John Rowan - Janney Montgomery Scott LLC: Okay. And then, you guys mentioned something about a new – I won't say new inventory system, but a new ordering system for Ashley Furniture, where you have access to certain things that you don't typically keep in stock. Is that for the company storage or is that in RAC acceptance?
Joel M. Mussat - Rent-A-Center, Inc.: No. No. Those are for the company stores, we're working with Ashley Furniture, and also across all of our categories that we use for our standard merchandising in our stores. We would create a more of an extended aisle, where we added several dozen more SKUs for our customers to choose from going forward. So, it's not just our current merchandising base and a store of products, but now a much larger suite of products between all categories, as well as Ashley.
John Rowan - Janney Montgomery Scott LLC: But it's not open season on all SKUs, right? I just want to make sure that you're not getting back some absurd sofa that you have no chance of retailing...
Joel M. Mussat - Rent-A-Center, Inc.: No. No.
John Rowan - Janney Montgomery Scott LLC: ...because someone ordered it custom, and you got it as a return?
Joel M. Mussat - Rent-A-Center, Inc.: No. A great question. No, we've got a very select number of SKUs that we focus on, SKUs that fit our business model.
John Rowan - Janney Montgomery Scott LLC: Okay. And then, Maureen, I think you gave some guidance on – I think you said corporate expenses were going to be flat sequentially. I should make sure, corporate expenses, you're talking about G&A, right?
Maureen B. Short - Rent-A-Center, Inc.: Yes. Yes. We're talking about the corporate segment, which includes G&A as well as depreciation.
John Rowan - Janney Montgomery Scott LLC: All right. Thank you very much.
Maureen B. Short - Rent-A-Center, Inc.: Thanks, John.
Mark E. Speese - Rent-A-Center, Inc.: Thank you.
Operator: Your next question comes from the line of Laura Champine with Roe. Laura, your line is open.
Laura Champine - Roe Equity Research LLC: Good morning. Could we dig into the gross margins on Acceptance Now. Again, it sounds like you're sort of making a deal with customers so that you don't have to pick up product. And I heard Maureen said that that sort of situation pressuring that gross margin will continue until the value proposition changes. Can you just explain to me a little bit more what that means and maybe how much of the pressure has to do with the changes in some of your retail partnerships?
Mark E. Speese - Rent-A-Center, Inc.: Yeah, what she was alluding to if – of course everyone knows under either line of business, at any time the customer has an early purchase option available to them, and that comes at a discount, if you will, to the total cost that they would pay if they would continue to rent. And depending on where they are in the life cycle of that agreement, meaning how long they've had it, how much they've paid, how they've paid and so forth. And then again, in an effort to mitigate the returns, we are – we've empowered the district managers and so forth to negotiate. I guess for lack of a better – it's somewhere between the remaining value and what the EPO would have been otherwise, if there is a way to extract more money and keep the unit out of the system and get the customer paid off, they are empowered to do that. And so we've been doing that, again, in an effort to save some of the returns and to work through some of that. I don't know, Maureen, I don't think we can quantify exactly, is that a 100 basis points of the increase? I can't give you that Laura, I don't know our expectation. Now, I want to be clear, when I talk about the value proposition, it's much like the Core. And you saw this in the Core with the changes we've made on both moving through the previous inventory and the value proposition changes, the gross profit margin or at least the depreciation line got worse, which we knew it was going to. But where we make that up is in the loss line, and in some of the other expense categories in the P&L. And we don't view this any differently. So, there was a near-term impact, but over time, as we implement the other Core – the value proposition to make the other changes, we would expect it to drive improvements in the total book.
Laura Champine - Roe Equity Research LLC: Got it. So changing the value proposition, I'm still a little unclear on what that means, because I know you don't have as much control on what you sell in those partner locations as you do in your Core?
Mark E. Speese - Rent-A-Center, Inc.: Yeah. So, think of it – let me try to describe it this way for the benefit of everyone. I know over the last several quarters, we've talked a lot about the Core and the value proposition and I know I've shared examples of – and, I think, people understand this, which is why I want to use this as an example here, because, I think, if we think about it the same way, you'll get there. In the Core, you recall me talking about the 2x2 pricing formula. And so, that's a 4-turn. But then, how many times is it rented. And ultimately, when the product leaves the system, what do you get? It's not where you start, it's where do you end up. And in the Core, you've heard me talk about historically, we were at a 4-turn pricing methodology. And all-in, when products left the system at the end of their life, we would get something that can do a 3.2-turn. That's taking into consideration early purchase options, write-offs of losses, second life, so forth and so on. You heard me say that in the Core, that got damaged a little bit, right? So, the average product was rented more times, it was on rent for less time. But at the end of the day, when it left the system, we were only getting a two-way or something like that turn. So, think of Acceptance Now the same way. Regardless of where we price it, and today, if it's around a 3-turn, when it leaves the system, what are we getting? So, we're talking about the value proposition in a way that maybe it's not a 3-turn on the front-end, maybe it's a 2.2-turn or 2.5-turn. And so, where that may show up is on the gross profit line, additional to the depreciation. When it leaves the system, am I improving my losses and am I getting my money back quicker and am I taking whatever it is today, the X to Y, I'm getting a better return on my invested ROI, so forth and so on, and those are the kinds of things we're talking about and that's what we're working on.
Laura Champine - Roe Equity Research LLC: Got it. Thank you.
Mark E. Speese - Rent-A-Center, Inc.: Okay.
Operator: Your next question comes from the line of Anthony Chukumba with Loop Capital Markets. Anthony, your line is open.
Anthony Chukumba - Loop Capital Markets LLC: Good morning and thanks for taking my questions.
Mark E. Speese - Rent-A-Center, Inc.: Hi, Anthony.
Anthony Chukumba - Loop Capital Markets LLC: I just had a question on the CFO search. You're now coming up close to a year without a CFO and no offense Maureen, you're doing a great job, but just I was wondering where you are in that process, and whether some of the sort of disagreements or issues that the board has exceeded that process at all? Thank you.
Mark E. Speese - Rent-A-Center, Inc.: Well, as I mentioned last time, I just started the search for, I think, everyone knows why it wasn't started initially, in light of everything that's taken place up to that point, and suffice it to say in light of the news that we just announced, don't expect me to be doing much at the moment either. And to your point, Maureen has done a wonderful job and I'm thankful for that, and she continues to do so. So, I got no issue with it, and I probably won't have anything to say on it for anytime soon either.
Anthony Chukumba - Loop Capital Markets LLC: Okay. That's helpful. Thank you.
Mark E. Speese - Rent-A-Center, Inc.: Thank you.
Operator: This concludes our question-and-answer session. I will now turn the call back over to Mark Speese for closing remarks.
Mark E. Speese - Rent-A-Center, Inc.: Thank you, everyone for joining us. As always, we appreciate your interest and support. And as always, Maureen and I are available for any follow-up discussions. Thanks and have a great day.
Operator: This concludes today's conference call. You may now disconnect.